Per Hillström: Good morning, and welcome to this presentation of the SSAB Q3 report. My name is Per Hillström. I'm responsible for Investor Relations. And presenting today, we have our President and CEO, Johnny Sjöström; and our CFO, Leena Craelius. And as you might notice, we have no video today. We are in a temporary office. So we don't have the normal studio. But again, that will be, as usual, Johnny will start with the quarter, and then a deep dive into the financials with Leena and then Johnny comes back with the outlook and a summary. And there will be time also, of course, for questions at the end. So by that, please, Johnny, begin.
Johnny Sjöström: Good morning also from me. Start by summarizing the highlights from the Q3 report. I would like to emphasize the safety performance that we have within SSAB and also the safety culture that we've implemented. We continue to reduce the number of lost time injuries in the company in our journey to become the safest steel company in the world. I'm very proud of the level we are at right now, and we have ambitions to continue this development. Now moving over to our operating results. I think that Q3 came out on a quite stable level. It has been a challenging market not only geopolitically, but also the market conditions in Europe have been quite challenging. And even so we still performed according to the expectations, and that's something I think that we should take some pride of. One -- I think the difference as compared to last year was that the Americas contributed with a higher profitability compared to Q3 2024. Now looking at the cash flow improvement, we can see that the Q3 this year was a stable quarter also from a cash flow perspective, came in on a decent level. If you can see the picture to the right, you see a shovel with 2 signatures on it. One is my signature. The other is from one of our ministers -- Deputy and Prime Minister of Sweden, Ebba Busch, when we had the groundbreaking ceremony in Luleå. That was quite a successful event, also bringing all the stakeholders together so that's a starting point for the investment in Luleå. Then moving over to our divisions and having a look at our Special Steel division. The shipments came out slightly lower than we expected. But even so, I think that the prices maintained or remained on a good level and the operating margin came out on a stable and decent level, 22%. And looking at the financial performance that even though there are -- sort of the shipments were slightly lower the financial result of roughly SEK 1.4 billion shows resilience in a very challenging market. Looking at SSAB Europe, I have to remind you that we had a maintenance outage in major parts of the organization in Europe. Hence, pushing the profitability down. Also, the shipments were slightly lower mainly due to the fact that we did have the outage. But even though, I would say that comparably, it was a decent quarter and came out on expectations. Like I said, this situation would have been better if it wasn't for the outage. I think the positive is that we maintained prices slightly better than Q2. And if we can continue to do that, I think that's a very good performance by the SSAB Europe organization. Looking at SSAB Americas, shipments here also came out on a slightly lower level. There has been some uncertainties now regarding the tariffs and what's going on the U.S.A. market. We -- I have to remind you that we are one of the largest plate producers on the U.S. market and the tariffs would limit sort of the competition, but we can also have a negative impact on the demand side. Having said that, I have to say that the operating results for Q3 from our America division came out on a sort of expected level where also here the prices were maintained on a stable level. I also have to remind you that if you compare to Q3 last year, we had a maintenance outage in Montpelier Q3 last year that brought down the financial performance. Having said that, I still think that the Q3 performance this year was stable and according to expectations. If we look at the 2 subsidiaries that we have, starting with Tibnor, I know that the market conditions in the Nordics are quite challenging. We haven't really seen the pickup as we were hoping for. The construction segment has maintained or remained on a lower level. We have seen some signals that the market might improve the construction segment, but that will more likely be in next year. So as you can see, the shipments came out lower than we expected and also lower than Q3 last year. The operating result also came out on a sort of a lower level. Of course, the shipments had a big impact on the operating result. Looking at Ruukki Construction, the revenue were slightly higher than they were at Q2 '25. And the operating results came out also on a sort of an expected level of roughly SEK 80 million for the quarter of Q3. Yes. Another update I'd like to do. I think the picture you can see to the right is from Oxelösund. Here, we can see how the electric arc furnace, this is the building, how that's progressing. And the progress is really good. It's progressing according to our plan. Having said that, I just want to also highlight that the production start-up will be in Q1, early Q1 2027, which is a slight delay compared to what we have communicated in the past. That is only related to the power line and the power grid. So it has nothing to do with our own performance. It's more an external factor that we cannot impact. One of the highlights regarding transformation also going in this green transformation journey, we became or SSAB became the first steel in the world to meet the International Energy Agency, a threshold for near-zero emissions and the First Movers Coalition's criteria. So this SSAB Zero product that we have actually met this criteria way before everyone actually could think it was possible. I think that's a good prestige for us. And these products were made partly by hydrogen-reduced sponge iron and also using scrap and also using the hybrid technology in the sponge iron that we produced. This product will be used in GE Vernova's onshore wind turbine towers. And last but not least, also the Luleå mini-mill project is proceeding according to plan, and I already mentioned sort of the groundbreaking ceremony. That was it from me now. Then moving over to you, Leena.
Leena Craelius: Thank you, Johnny. Let us start by looking at the steel shipments first. That's on the graph on the top right-hand side. The outcome Q4 -- or Q3 was 1,466 kilotons and compared to Q2, that is a reduction of 14%. But then compared to previous year third quarter, shipments were fairly stable, some 9-kilo tons higher this year compared to last year. And as the graph is illustrating Q3 and Q4 tend to be lower seasonally than the first and the second quarter. And if we do a quick comparison versus the outlook we gave, Special Steel shipments, we were indicating to be lower, which means 5% to 10% lower and the outcome was just below that with 11%. Europe division, we were indicating to be significantly lower, and that's meaning over 10%, and the outcome was in line with 18% lower shipments. And then Americas, we were indicating to be somewhat lower, which means up to 5% reduction and the outcome was below that with 10%. And to keep in mind that we did have the maintenance outages in the Nordic mills during the quarter. If we then move to revenue graph, you can see that the outcome Q3 was just below SEK 23 billion, compared to previous quarter, the reduction is SEK 2.7 billion and compared to previous year, Q3, the reduction is SEK 1.4 billion. And a similar comparison with the prices outlook we gave, we were indicating Special Steel division and Europe division to be stable in prices and they were actually slightly better, a 1% to 2% higher compared to previous quarter. And then in Americas, we were guiding higher prices, 5% to 10% and the outcome was below that with only 1% increase. And as Johnny already mentioned, the market conditions having impact on that. EBITDA performance, Q3 at SEK 2.9 billion reduction versus previous quarter of SEK 3.2 billion but improvement compared to previous year Q3, which was SEK 2.3 billion. And in relative terms, if we do the comparison of Q3 versus previous year, last year, the margin was 9.5%, while this year, it was better on a level of 12.6%. So improvement. And if we continue with more detailed analysis of the quarters. Firstly, we compare the operating result, Q3 versus previous quarter outcome in Q3 was SEK 1.9 billion. The second quarter was SEK 2.1 billion. And here, we have a positive and negative impact. If we start analyzing the prices, biggest contribution coming from Europe division, SEK 570 million, followed by Special Steel division, SEK 110 million. Both of these were supported with the good premium mix. And then Americas also positive impact of SEK 85 million. So the total impact on prices to the result is this SEK 765 million. To mention Tibnor and Ruukki Construction prices were flat quarter-on-quarter. If we then continue to analyze the volume impact, total impact was this SEK 915 million. Already mentioned, the shipments were lower, 14% lower quarter-on-quarter. Biggest contribution here coming from Europe division, where volumes were 158 kilotons lower; Americas 47 and Special Steels 36 kilotons lower. And already shown previously in the graphs, Ruukki Construction had seasonally higher sales volumes and Tibnor had lower sales volumes. Then if we have a look at the variable cost, the net impact on the result was a negative SEK 305 million. We know that the raw material costs did come down in iron ore, coking coal and scrap, but this is also including the change in inventory impact and previous quarter, we had higher positive impact than this quarter, thus the bridge analysis shows a negative trend here. Fixed cost -- in the fixed cost, we were lower. This is typical seasonally lower fixed cost due to the summer period, but we also had some saving activities taking place during the quarter. Capacity utilization, a negative impact of SEK 390 million and the majority of this is related to the maintenance outages during Q3, we didn't have any during Q2. If we do the comparison now against the previous year quarter outcome last year being SEK 1.2 billion compared to SEK 1.9 billion this year. Starting with prices, the total negative net impact, SEK 790 million. Prices were, on average, 7% lower than last year. Both Special Steel and Europe division having a negative impact, Special Steel division with SEK 490 million. Europe division SEK 470 million, while Americas had a positive impact here around SEK 200 million. To point out that here, we have a rather large impact of the FX, total negative impact of SEK 560 million. So the currency definitely had an impact in this analysis. However, that is compensated almost fully by the lower cost in variable cost and the FX impact there is a positive around SEK 0.5 billion. On top of that, we have lower raw material costs. And if we split this variable cost positive impact per division, Special Steel division is contributing most with SEK 645 million, Europe SEK 510 million and Americas SEK 490 million. But majority of this SEK 490 million is actually related to the maintenance cost that took place last year that we didn't have during this year. Fixed cost, slightly higher than last year. To mention that last year, we had the full profit sharing provision reversal done during Q3, which we didn't have this year, we only took a part of that reversal this year. And then the capacity utilization, we have a positive impact of SEK 105 million. Last year, we had more maintenance outages. We had outage in Montpelier mill and also Luleå had more extensive maintenance outage last year. If we then continue to look at the cash flow, I already mentioned that we had a positive operating cash flow as well as net cash flow quarterly comparison year-over-year, EBITDA on a higher level. Change in working capital, both quarters this year and last year having a positive impact. Maintenance expenditure is a bit higher than last year. And to remind that the other line here is related to the CO2 emission swap transactions. We had also these transactions during the third quarter as we did last year. And then if we look at further down the investments when it comes to strategic projects, we can see that a bit more than SEK 1 billion increase compared to last year, and majority of this is related to Luleå mini-mill and as Johnny mentioned, the construction phase has now started. And this is leading to net cash position of SEK 10.8 billion. This is very stable compared to previous quarter, which was SEK 10.9 billion and thus, the net gearing on exactly same level last quarter as end of Q3 being within our financial targets and the outcome was minus 16%. Raw material prices, as the graph is illustrating, they have come down compared to last year. Iron ore reduction quarter-over-quarter was 10% and even a bit more compared to previous year while the coking coal prices have been a bit more stable quarter-on-quarter. But when comparing last year level, it's more than 20% reduction in the prices. Scrap prices in U.S. have been more stable than the other raw materials quarter-on-quarter rather stable but slightly below previous year level. And the outlook is that the Nordic mills will still get some benefit from the lower raw material consumption cost during Q4 and we expect that the scrap prices would remain rather stable also during the coming quarter. Maintenance table, this we have updated slightly since last time we showed this. Last time, it was SEK 1,570 million, while now it's SEK 1,530 million. And as the table is illustrating Q3, we had the maintenance impacting our production volumes and the cost and even more so during Q4 when we have more maintenance taking place during the quarter. And the CapEx guidance, we have not changed. We still plan to spend SEK 10 billion during the year, SEK 3 billion of that related to maintenance CapEx and SEK 7 billion related to the strategic CapEx. And with this, I give it back to you, Johnny.
Johnny Sjöström: Thank you very much, Leena. So looking forward a little bit, the outlook. So if we have a segment approach to this, and we start by looking at heavy transport, the situation is still sort of on a lower level, but it's tend to remain low on a lower level -- or sorry, maintain neutral on a lower level. So we've heard announcement from several large heavy truck producers in Europe. They claim that it's slowing down. But on the other side, we also see that segments such as shipbuilding is strengthening, not only in Europe but also in United States and also rail transport. So that's sort of compensating a little bit for the lower demand for heavy trucks. Looking at Automotive, there are mixed signals. We have seen Volkswagen announced that their sales have dropped in the United States and in China. But on the other hand, it's increased by 9% in Europe. So that is sort of a signal that Europe might be sort of have hit the lowest and now it's on its way up. So that's what we're hoping for going forward. Looking at Construction Machinery, there's a soft demand in Europe. And I think that for Q4 is probably going to maintain soft according to the forecast that we have. Look at Material Handling, which is very much related to the mining industry has been sort of on a higher level, now driven by high gold prices, new mines are opening up, et cetera. So we see more activity in the mining. But for Q4, we believe it's going to maintain stable on a high level. Energy, we see that there's still a good demand for energy transmission. I would say that both in Europe and United States. We've had a lot of activities in the oil and gas in the United States. So we believe that's going to be between strong and neutral for the Energy segment. Construction segment still is on a low level of activity. There are some signs and signals that things might change but it's too early to say, but hoping that, that will be the case. And then Service Centers, depending on where you are geographically, but in Europe, we believe that Service Centers are beginning to buy a little bit more especially now trying to be one step ahead of what's going to happen to CBAM and other protective mechanism that's going to happen in Europe. While we see, on the other hand, in the United States, it's actually more or less the other way around. So the outlook that we have communicated is that the shipments of Special Steel is going to be slightly lower and that's typically a seasonal effect but prices are going to remain the same. If you look at SSAB Europe, now considering that they did have a maintenance outage in Q3 we believe that the volumes are going to be higher. We also have a maintenance outage in Special Steel, which is also consequently will give a negative impact on the shipments. And then for SSAB Americas, we also foresee that's going to be somewhat lower shipments as well as prices. So to summarize, I think that we had a better result in cash flow compared to last year. We have a very strong focus on safety, and that consequently have also given us as a better lost time injury frequency. Stable earnings on a good level for Special Steels, which is very important for us and the journey that we have going into more special products. And the transformation projects are progressing according to plan and also that we have planned maintenance, both in North America as well as in Europe in Q4 that's going to have a negative impact on our financial performance for Q4. I think that was it, Per. So maybe I'll leave it over to you then.
Per Hillström: Yes. So sorry, we can just remind on the Capital Markets Day on the 4th of November, it's not too late to register. So you're much welcome to join full day in Oxelösund, and you will find more details in the registration form there. So by that, we can move into the Q&A. [Operator Instructions] So by that, operator, please present the instructions for the Q&A.
Operator: [Operator Instructions] And your first question today comes from the line of Kaleb Solomon from SEB.
Kaleb Solomon: To start off, maybe regarding the SEK 2 billion of CapEx related to the power line, I know you mentioned before that there will be a cost that sort of comes on top of the SEK 6 billion for the electric arc furnace, but I think this is the first time you put a figure on it. So could you just give us some color on how much of that SEK 2 billion is already baked into the CapEx figure for 2025? And how much of it will we see next year?
Leena Craelius: I can comment on the -- how much of that is now in the figures of '25. So far, we have paid around SEK 700 million of that total and the rest, of course, remains to be paid during coming years.
Kaleb Solomon: Okay. That's clear. And on SSAB Europe, can you maybe give us a rough figure of how much the sort of staffing and production-related cost measures contributed to Q3 results? And what sort of measures or impact, if any, should we expect in Q4?
Leena Craelius: We have started in Europe division, so-called flexible saving actions. We have had this time banks in use, both in Sweden and Finland. And to give a rough estimate, I would say that during Q3, there was around SEK 100 million of savings.
Kaleb Solomon: And would that be similar in Q4 or?
Leena Craelius: During Q4, of course, we are monitoring the market situation. And of course, we continue with this flexible man-hour activities if needed. However, we do have also a lot of maintenance activities that we need to implement. So difficult to give a figure for the saving targets. But the good thing is that we have the flexibility that we can utilize when we need it.
Operator: Your next question today comes from the line of Anders Akerblom from Nordea.
Anders Akerblom: So firstly, just wondering about shipment growth in Europe now in Q4. I mean, obviously, this kind of breaks from the past few years sequential trend. So I guess should one interpret this as you becoming incrementally more positive also for 2026 with regards to these recent regulations? And it would be interesting to hear how you view this particularly from the perspective of prices as well, what your current kind of view and assessment is?
Johnny Sjöström: So Anders, this is Johnny. Yes, Europe has been under pressure with low imports for quite some time. We see some signals now that the CBAM would have an impact. We've also heard the European Commission communicating safeguards. I think sort of the analysts are forecasting that this will have a positive impact on the utilization of the European mills. It will most likely also have a positive impact on the prices. But that's pretty much all I can say for the time being.
Anders Akerblom: Yes. Fair enough. I appreciate that it's difficult to assess today. And second question, just -- I mean, with regards to one of your competitors in green steel kind of looking to become insolvent in the coming months, if one is to trust the media reports at least. Do you see this presenting any interesting opportunities for SSAB in any regard?
Johnny Sjöström: I think our focus is mainly on our transformation that we're doing in Luleå and Oxelösund. That is where our main focus is. We're going to make sure that we will have added capacity to produce the unique products that we are really good at and continue our position on the market. And what's happening to [ steel grades ] is remaining to see. So that's all I can comment for the time being.
Operator: Your next question comes from the line of Tom Zhang from Barclays.
Tom Zhang: Two for me as well. First one, just on the European pricing guide, I mean, I recognize there's sort of lags in the contracts and spot pricing was weak through May to June, but I guess spot pricing has come up since then. Could you maybe give us a bit of color on why the guide is for lower pricing? I mean, is there much mix impact that's being baked in there? Yes, any color around that would be helpful, please.
Johnny Sjöström: Yes. So in this case, we're guiding for Q4. And most of the orders for Q4, we've already taken. And you're right, there is a mix effect, yes. That's all I can say about it.
Tom Zhang: Okay. Fair enough. And maybe just to follow up very quickly on that mix effect. I mean, is that a sort of Q4 specific thing? Is this just a normalization in mix? How do we think about that mix impact kind of going into 2026? Is Q4 sort of one-off?
Johnny Sjöström: Yes. I think that Q4 maybe is a little bit of a one-off, yes, like you said. But I think on the positive side, we have not taken any spot business this year or we are in a much more stable position than we have been in the past. We are optimistic for Q1. A lot of wins are going in our direction. So I think that goes for the whole steel industry. They're quite positive for Q1. So then you could draw your own conclusions.
Tom Zhang: Fair enough. And the second one, maybe, please, just on U.S. plate market. I guess you guided to slightly lower pricing, again from the sort of lag impact. I guess my question is really, what is the market reaction been to the price hikes that you and some of your peers have tried to push into November? Has there been enough import supply and domestic capacity reduction to get that through? Or is this really more a sort of stabilization in spot prices that we should be expecting?
Johnny Sjöström: Yes. So we have a very strong position on the U.S. plate market. And as you said, we communicated the price increase and that was also then followed by one of our larger competitors just after we announced it. I think some of it was actually absorbed and accepted by the market. I think in the recent weeks, we've seen demand go down on the U.S. market. There are concerns about the U.S. economy. There are concerns about banks failing, overinvested market. They're concerned about inflation because of tariffs. This is pushing the demand back. And this has been seen in the consumer steel business for quite some time. I'm referring to automotive, I'm referring to housing and things like that. But now we can also see some other projects, industry-related projects being postponed and that's something which is quite new. So hence, we are a little bit cautious regarding the pricing in Q4.
Operator: Your next question comes from the line of Tristan Gresser from BNP Paribas.
Tristan Gresser: So I have 2. If I can ask a little bit more about the steel action plan, if you can share your view about the new quotas announced by the commission. More specifically, do you see any risk of dilution of the policy? And do you think the policy will only be implemented by July next year or it could come sooner? And if that does create some risk?
Johnny Sjöström: First of all, I think this policy is really important for the European steel industry. Without it, there's going to be a lot of capacity closed down and a lot of job opportunities that will disappear. I think it's necessary in the market conditions that we have where we have some actors not trading according to the World Trade Organization that doesn't have the fair trade policy that we have countries subsidizing the steel production and having a massive overcapacity. I think that Europe needs to take action in order to sort of protect our interests. The suggestion that's been put on the table by the European Commission is sort of suggesting that was worked out primarily by Eurofer. And I think it's based on sort of the import levels that we had in 2013, where we're targeting sort of to get down to a 15% level for flat products. I think that's important. When the timing will be, it's hard to say, but it's not likely that it's going to happen in the beginning of Q1. I think it's more likely that it's going to take more time than that. So we'll see.
Tristan Gresser: All right. That's clear. And just the potential direct impact for you. I mean, usually import penetration is a bit lower in the Nordics. So if you can confirm what pressure you're facing from imports in the regions you operate? And we've seen some price ticking higher in Europe of late. So do you believe you're already seeing more buyers turning to domestic producer? And lastly, in Europe, how much spare capacity do you have? I think -- yes, if you could comment on your utilization level at the moment and how much could you go further up?
Johnny Sjöström: Those were a lot of questions at the same time. But I'm trying to summarize a little bit what you were asking for. But we know that the imports have a very big impact on the price level. The imports that we get from China, Asia are on such a low level that it doesn't even cover contribution level or cover the variable costs. When the imports are reduced only with 5% prices goes up, we have seen that historically. And we believe that the safeguards will have a healthy impact of the pricing in Europe. So also going to have a healthy impact on the utilization. When it comes to SSAB, I think that we are in a better position than a lot of our competitors. Our utilization level has been quite good, quite decent. But I think the impact will be from the pricing. We haven't too much spare capacity in that regard, but we would hopefully see a price increase in the market going forward.
Tristan Gresser: Okay. No, that's clear. And maybe if I can squeeze just a quick follow-up on that. Some steelmakers in Europe are pushing for a pushback of the free allocation phaseout. Are you pushing with them? And if not, can you explain why?
Johnny Sjöström: No, we're not pushing with them. We're actually working against them. I think that if the European Union has set up a policy or even a law regarding the ETS, we need to follow it. We can't just change our mind from one day to another. So -- and if I listen to what some of the people in Brussels are saying, it's -- they are supporting the concept that we're going to continue with the plan of the free allocations according to what we had before. But it remains to be seen the impact, I think that from our perspective, the journey that we have and the investments we're making is based on other financial reasonings than only the green transformation. We are well equipped for whatever changes that will happen. And we have did and done a lot of sensitivity analysis in that regard to be on the safe side. One of your questions before I think that was related to if we see -- if the market is picking up now because of the potential CBAM also the safeguards, and there are such signals on the market. So the answer is yes.
Operator: Your next question comes from the line of Alain Gabriel from Morgan Stanley.
Alain Gabriel: I've got 2. The first one is on Oxelösund. Do you mind reminding us if you need to apply for new product certifications given the change in production route? And if there's "a race against time" to get these certifications in time for the plan to start production? That's my first question.
Johnny Sjöström: So when it comes to the major part of Special Steels products, then there are no such sort of demand requirements. However, if we are planning to supply the Borlänge mill, with 0 slabs or low emission slabs, then there will be a qualification needed. However, when we speak to the potential customer, they say that there will be a lighter version because the majority of the production line is already there. And if the chemistry is right, then there will be just a lighter certification period.
Alain Gabriel: And my second question is on the Special Steel division. I guess, your profit margins for that division have remained very robust, beating all expectations for the last few quarters. I guess, your volume targets though have fallen a little bit behind your 2023 CMD targets for that division. Is that a conscious decision to go after value over volume? Or are there any other underlying challenges preventing you from lifting your shipments in that division to meet the targets you've set a couple of years ago?
Johnny Sjöström: First of all, value will always go over volume. That is our concept going forward. And I'm very happy with sort of the mix development we've seen in Special Steel working more with the strategic or the more advanced products within Special Steel products such as Hardox 500 Tuf, products such as Hardox HiACE, Armox, et cetera. Those are grades, which are very, very unique, and there's a high demand for it. And we are investing to be able to produce more of this because they require a different production process with tempering, and we're investing more capacity in Mobile, Alabama as we speak. We're looking into what we need in order to grow in Oxelösund as well in that regard. So when it comes to the volumes, there has been a very challenging situation when it comes to geopolitical stability. There have been tariffs. There have been safeguards. There have been war. There are sanctions, even though if you look at just the Russia and the sanctions to Russia, but there have been sanctions also on neighboring countries, et cetera. So that has, of course, impact Special Steel and the volume growth as such. Having said that, I have to say that I'm really proud of the journey that they've taken, upgrading customers to more advanced steels, generating more value for the company and also for Special Steel.
Operator: Your next question comes from the line of Dominic O'Kane from JPMorgan.
Dominic O'Kane: I have 2. You've given us the guidance for shipments and prices into Q4. But given the announcements over the last couple of weeks from the European Commission and as we creep towards CBAM in Q1 2026, have you seen any change in behavior among your customers or order books for how customers are kind of reacting to the situation in Q1 into Q2?
Johnny Sjöström: We have seen sort of a slight change in behavior. We -- I think the interpretation we've done so far is a lot of the European customers now is looking for European suppliers. I think that a lot of our customers are concerned about not only the safeguards, but also the CBAM to some extent and the demonstration taken in order to apply for permit to export into Europe. Hence, there is sort of an uptick in the order intake from the European customers. I think that's going to have a positive impact on our Q1 performance. I think in Q4, the order book is pretty much full, then it will be more related to utilization of the mills, but most of the orders have already been set also the prices, so.
Dominic O'Kane: That's really helpful. And then my second question, just on U.S. tariffs. The statement that you make, I think, slightly leaves the door open for tariff impacts in the future. You've obviously stated for the last 2, 3 quarters that you have local production. But could you maybe just give a sense about how your U.S. and European supply chains maybe have changed at all since the announcement of U.S. tariffs and whether you think you can continue to be immune from tariffs in the next 1, 2 quarters based on how you've managed supply chains over the last 6 months?
Johnny Sjöström: Yes. So you're right. We have a significant production in the United States. That helps us, gives us comfort. We still have products that we export from the Nordic countries to United States, especially SSAB Europe with their automotive grades Docol going into side collision beams for cars. We have communicated with the customers that we cannot bear these tariffs on our own. We are sharing that cost but we also know that long-term some of our customers will look for domestic supplies instead not only for the cost issue but also for political reasons. Up until now, we haven't been affected so much by it because it takes time to requalify a new supply. But long term, this will, of course, have -- will have a negative impact on our export from, let's say, Borlänge to United States. Having said that, we also know that we are working on European customers that is more than willing to buy that capacity instead. We have been fully utilized in the Continuous Annealing Line in Borlänge. We have chosen to sell it into the United States because that's where the margins and demand has been the highest but as we see it right now, we can shift that capacity over to European customers instead.
Dominic O'Kane: I mean are you able to at all quantify that Borlänge impact on a long-term basis?
Johnny Sjöström: Not really. No. It's -- I mean, as it is right now, the impact has been really minor. I mean, hardly an impact at all. But -- and if you talk long term, it's also -- I mean, can I say how much we export from Sweden to -- yes. So I think we're exporting 120,000 tonnes of this special steel grades from SSAB Europe.
Per Hillström: It's also stated in our interim report actually how much Europe sells to the U.S. and these are those products. So you can follow it each quarter.
Johnny Sjöström: And it's been reduced maybe with 20,000 tonnes up until now. So -- and long term, I don't know, it's going to be a similar size maybe. So it's not -- I mean we're making this maybe to a bigger thing than what it is. It's -- you're not even going to see it in our profit statement or income statement, so.
Operator: Your next question comes from the line of Cole Hathorn from Jefferies.
Cole Hathorn: I'd just like to follow up on the U.S. plate market and the moving parts that you're seeing in that segment at the moment. You talked about some softer demand trends, but I'm just wondering how you're seeing imports into the U.S. on the plate side. Have you seen a reduction from players like Algoma and on inventory levels in U.S. plate, have you seen that come down with those lower imports? I'm just wondering what your outlook is a little bit further on the U.S. plate segment?
Johnny Sjöström: I think when this tariff was announced and the 50% was announced, there were a few suppliers like Algoma that ship through the tariffs hoping and thinking that the tariffs between Canada and United States will be taken away. So they continue to deliver through the tariffs into the United States. As we have seen now during the fall, September, late September, that their exports into the United States have dropped significantly. We also have seen which has been public that they get a sort of loan from the Canadian government. Algoma is a little bit in the challenging situation. They can't afford to continue to take this cost. They can't continue to export into United States. So that is sort of from our perspective, quite positive. We've also seen another competitor closing down their mill. It's a 300,000 tonnes plate mill that has been closed down. Am I allowed to say what company it is? Or? No. So sort of supply side is sort of shrinking in the U.S. market. So that's on the positive side. I think, as I said before, on the negative side, we see now all of a sudden, that demand is slowing down because of concerns what's happening in the market. I think in this case, it's more the financial market that's bringing a lot of concerns. Everyone remember what happened in 2008 in the Lehman Brothers. So I think there is now in a wait-and-see mode to see what's going to happen. But some of these larger projects has been put on hold. So we'll see what's going to happen to that going forward.
Cole Hathorn: And then maybe just following up there on anything you can say on distributor inventory levels. So if demand was to come back, do you think the price reaction would be quite quick?
Johnny Sjöström: So the inventory level is medium to medium, high. So it's not -- you can continue to fill it up a little bit, but they still have enough inventory to be able not to buy anything for some time. So I would say medium, medium, high.
Operator: Your next question comes from the line of Andrew Jones from UBS.
Andrew Jones: I just have a question on Special Steel stuff. Obviously, the quota reductions are going to be massively supportive for the European business as they come through as planned. But obviously, given the Special Steel business is far more global, I'm wondering how you see the moving parts and the potential benefits, which products in particular will actually be helped by these quota reductions and maybe if you can do something to quantify that. I'm also curious secondly, about backlog and the impact of some of this higher defense spending. Are you seeing any of that in the back of Special Steel yet? Can you give us any steer as to the potential EBITDA benefits we might see from these higher defense spending we're seeing at the moment?
Johnny Sjöström: First, to the question of Special Steel and sort of the exports and your comments regarding the safeguards, if that could have a negative impact on Special Steel. I think one of the good things with...
Andrew Jones: I don't mean a negative impact. I mean, like are the products you're selling in Europe and Special Steel that are going to materially benefit or because it's global will it -- is it -- should we expect a pretty limited benefit from the quotas?
Per Hillström: This question is basically, are we seeing a lot of imports impacting Special Steels at the moment that might ease, that make a more attractive market than when the safeguard comes for Special Steel products.
Johnny Sjöström: I think that what we sell in Europe are quite unique, and I don't think that there's any competition from outside Europe that's going to have a large impact. I think it's more important that sort of the construction segment comes back. If it does, we see a tipper market, a dumper market, an excavator market to come back, which are on a very low level. That has a bigger impact, I would say. There are businesses like the tooling business that is almost dead in Europe because of Chinese imports going through Italy. We have seen a lot of companies closed down because of this. Now there is a likelihood that there will be a sort of a shortage of supply in Europe and the prices will become quite high. This is a very small part of our business. I'm just stating the fact that if it's one area, maybe in Special Steel, it's only this area. And then to your sort of second question regarding protection. We know from history that every announced project takes time to get into the order books. There is a stable demand on a sort of somewhat higher level than we've had before, but we haven't seen the boom yet.
Andrew Jones: And do you have any expectation for when we might see that step up if the planned spending comes through as some of these announcements suggest?
Johnny Sjöström: So the planned spending has already -- I mean, we know for a fact that the Hägglunds in Sweden. They tripled their capacity. They're fully booked for the next 6, 7 years. Same thing with Rheinmetall. They also tripled their capacity. They're fully booked for the next, I would say, even up to 7 years. We see Patria in Finland, the same situation there. So all these defense companies, they can't produce more. I mean if they could, they would produce more. That will eventually reach us, but there's a lead time before we -- the orders will come to us, but we know it will.
Andrew Jones: But can you give any timing on what that lag is and maybe something around whether you expect the margin in the Special Steel group to materially improve with the improving mix as that starts to come through and how we should think about that?
Johnny Sjöström: So the timing, I cannot comment on. That's only speculation. It's really hard to actually predict. If it grows, it's going to have a very positive impact on Special Steel, but that's all I can say.
Operator: And the question comes from the line of Bastian Synagowitz from Deutsche Bank.
Bastian Synagowitz: My first one is just a very quick -- a quick follow-up actually on the savings with regards to cost savings. And I think Leena, you mentioned that you had SEK 100 million cost saving in Q3. I wasn't sure, did this number refer to Europe only? Or was that including Special Steel? And the reason I'm asking is that from memory, the effect from overtime accounts was typically between SEK 200 million and SEK 300 million in a normal third quarter across Special Steel and Europe together. So if you could just clarify whether maybe SEK 200 million to SEK 300 million has been the total effect or whether it's been just SEK 100 million this year. That's my first one.
Leena Craelius: The SEK 100 million I was referring to Q3 and majority of that is related to Europe division, where they have implemented these flexible working hours. So that's sort of to specify the cost savings.
Bastian Synagowitz: And then if you include Special Steel as well, is the number higher and closer to the SEK 200 million to SEK 300 million? Or will there be more in Q4 as well this time, while usually it's a bit more Q3?
Leena Craelius: Yes, I said that we will, of course, monitor the market and adjust then the cost base accordingly. Special Steel division hasn't done as much as Europe division when it comes to these flexible cost savings.
Bastian Synagowitz: Okay. Very clear. Then my second one is actually on cash flow, and probably one for you as well. With regards to working capital, I guess, usually, we should see a release here, I guess, particularly in this environment as well where volumes are weak. So maybe can you please update us with the sharper numeric guidance for what you expect as a working capital release in Q4 and whether you think that in combination with your, I guess, operational performance, you will be able to keep net debt more or less stable. I guess, what are your expectations for net debt ultimately?
Leena Craelius: Yes, you mentioned that Q4 tends to be the quarter when we see a positive working capital behavior. And of course, this year, we target to have the same cash generation being in a strong focus all the time. And I would say that the net debt cash situation should be relatively similar during Q4 as it has been now during the past few quarters.
Bastian Synagowitz: Understood. Okay. So basically stable versus Q3, is what you say?
Leena Craelius: Yes.
Operator: We will now take our final question for today. And our final question comes from the line of Boris Bourdet from Kepler Cheuvreux.
Boris Bourdet: I would have just a follow-up on the European trade action. So I would be interested in getting your view on this announcement is really the best case scenario for steel makers 50% cut almost in quotas and 50% tariffs for out of quotas imports. How do you think -- what do you think are the chances for that to be adopted in this current state? I ask the question because we have some -- we hear some pushbacks from Germany. So what is your scenario for next year? And what could be -- you said that lower imports might mean a high impact on pricing. What would be the attached pricing impact that you would expect from removing 60 million tonnes of import from Europe?
Johnny Sjöström: So first, regarding the safeguards, what was the question? I was...
Per Hillström: Do we believe that the suggestion in its current form will hold?
Johnny Sjöström: Yes. So we have, as a member of Eurofer, this is a very important question for us. We're pushing it. We have a close contact with all countries to make sure that they support us when it's going to be voted in the European Commission as well as when it's going through the European Parliament. There are a few actors in the market who is a little bit skeptical to this, and that's primarily the German automotive industry. We are in close connection with the MDs of these companies, having closed discussions with them. Then except for that, we also historically have had seen Sweden and also Finland, not really supporting initiatives like this because for them, it's been important with the free trade but as far as we understand, fair trade is also very important to these countries. So we are, from a our Eurofer perspective, optimistic. I guess that's all I can say for the time being.
Boris Bourdet: Yes. And it was a question on pricing. You mentioned that a reduction of -- I was wondering whether you had made some math on that and you could point to a number we could have in mind.
Johnny Sjöström: No, I'm sorry, I can't do that.
Operator: We do have one more question. And the question is a follow-up from Tristan Gresser from BNP Paribas.
Tristan Gresser: Just on CapEx now that you have more visibility on Oxelösund, Luleå, the power lines. Would you be able to give us a rough sense of what you expect for next year? Would that be a focus of the CMD? And also if you can just say a few words about the CMD, what would be the focus there? And what could be the message that you feel is important to pass on to investor?
Leena Craelius: Good that you mentioned CMD because there, we will definitely give more transparency of the CapEx plan for coming years. And of course, we will dive into also the division level strategies and strategy overall. So hope many of you will actually come and meet us there. So welcome.
Operator: There are no further questions. I will hand the call back to Per.
Per Hillström: Yes. Thank you very much. Thank you for a lot of good questions. And this concludes basically today's conference. Thank you, Johnny. Thank you, Leena, and wish you a nice day.
Johnny Sjöström: Thank you very much.
Leena Craelius: Thank you all.
Per Hillström: Thank you.